Matthieu Malige: Good afternoon to all of you, and thank you for attending this Q1 2025 sales call. I'm here with Sebastien Valentin, Head of Investor Relations and our IR team. Let me start with a few key highlights before we get into the details of Carrefour's Q1 performance. Quarterly sales came in line with Q4 2024, up 2.9% on a like-for-like basis and very much in line with our expectations and the assessment of the market we made last February when we last spoke. Our 3 key markets were marked by satisfactory performance. First, in France. In a rather muted market, Carrefour gained 20 basis points of market share in volume, excluding Cora & Match over the quarter, benefiting from the price investment strategy initiated in 2024 and carried on through Q1. Second, we maintained a positive momentum in Spain with an accelerating growth in food sales and positive volume. Market shares in volume were stable over the quarter in a dynamic market. Last, in Brazil, Atacadao continued to deliver a strong and above-market like-for-like performance. In Q1, we continued the swift implementation of our strategy with new progresses on key initiatives driving better customer satisfaction as reflected by a 3-point NPS increase versus last year. The sales of Carrefour branded products kept increasing. They now account for 38% of food sales, up 1 point versus last year and still very much in line with our 40% 2026 objective. E-commerce GMV grew 19% in Q1 with strong growth in most countries. In France, we kept implementing our strategy to switch hypers and supers to our franchise and lease management models. We also strongly consolidated our leadership in the convenience format with our franchise partners with dynamic organic growth plus the additions of the Puig Group last January and more recently, the Magne Group totaling more than 200 new stores. Last, we are on track with the execution of our EUR 1.2 billion cost saving program for 2025. In that context, we confirm our financial targets for the year, which include achieving slight growth in EBITDA, recurring operating income and net free cash flow as presented last February. Let's now dive into Q1 numbers on Slide 3 with group sales. Total sales for the quarter reached EUR 22.7 billion, increasing by 6.4% at constant currency. Group like-for-like sales were up 2.9%. Expansion and M&A contributed 5.7% in Q1, driven mainly by the consolidation of Cora & Match since the second half of last year. Petrol sales had a fairly neutral impact. The negative calendar effect of minus 2.2% reflects 2 key parameters. First, the 2024 leap year effect and then the timing of Easter, which comes in April this year versus March last year. ForEx had a negative impact on total sales growth of minus 4% over the quarter, mainly due to the depreciation of the Brazilian real and the Argentine peso. In total, reported revenue was up 2.3% in Q1. Moving on to Slide 4 with more details on the performance of France. Like-for-like sales were down 1.7% in Q1, a sequential improvement in all formats, but penalized by the significant investments in competitiveness realized over the past year. Market share in volume kept increasing on a comparable basis, i.e., excluding Cora & Match effect. Comparable market share in value was stable over the quarter. This positive dynamic was driven by continued improvement in price image, fostered by the launch of Le Club Carrefour, our loyalty program in January and the first wave of 2025 price decreases at the end of March. At national level, 400 high rotation products have seen their prices decrease by 10% in average. We will continue with new waves throughout the year. It actually started earlier this week with price cuts on 200 additional products. Let's move on to Slide 5 and have a look at the latest developments related to our customer loyalty program in France, Le Club Carrefour, which provides us with an additional and powerful tool to develop customer loyalty through additional value given to customers and a more personalized relationship with our customers. We launched Le Club Carrefour on January 13, making it available in a seamless way in all formats and online. It offers our members an everyday 10% rebate on Carrefour branded organic products and all fruits and vegetables. This rebate increases to 15% for Carrefour Pass cardholders who also benefit from a 15% rebate on all Carrefour branded products on Tuesdays, [indiscernible] again in all formats and online. With this program, Carrefour offers the best price positioning in France on organic products and fruits and vegetables, which are a strong driver for loyalty, traffic and price image. The program already shows great traction, growing by around 500,000 new members in the first quarter to reach 14 million members. Moving on to an update on Cora & Match integration on Slide 6. In March, the French Competition Authority cleared the acquisition of Cora & Match with 8 stores out of 175 to be disposed of by year-end. The divestment process is underway. The integration of Cora & Match is progressing as planned. After the conversion of all 60 Cora stores to the Carrefour banner in Q4, we progressively introduced our Carrefour branded products in all stores and started to converge commercial plans, including pricing and promotions. On the back of this swift integration process, we confirm our synergy target of EUR 130 million by 2027. Regarding integration costs, we are providing you today with an update to the numbers presented at the time of the closing of the acquisition in July 2024. Our initial estimate remains unchanged for the total integration costs. Keep in mind that 1/3 of the EUR 150 million of OpEx were recorded in 2024. The remaining EUR 100 million will be spent in 2025 with a majority in H1. As far as CapEx are concerned, the EUR 100 million envelope is split into EUR 40 million in H2 2024 and EUR 60 million in '25. Moving on to Europe on Slide 7. Like-for-like sales were slightly positive over the quarter, in line with Q4 2024. In Spain, we observed a good momentum in food sales, growing plus 2.5% on a like-for-like basis and accelerating compared to Q4 2024, which stood at 1.8%. In Romania, we're accelerating our like-for-like growth to 2.7% with an improving trend in volumes, supported by the strong growth in ex-Cora store sales at plus 9%. In Poland, we managed to confirm the sequential improvement observed in Q4 despite strong price competition and price investments versus the rest of the market. The performance was tougher in Italy in a slightly declining market where we continued our price investments. Finally, Belgium is still exposed to high competition and was impacted by a general national strike on March 31, but NPS reached historically high levels. Let's move to Slide 8 with a focus on Spain, where we continue to see a positive momentum driven by volumes. In a dynamic Spanish market, we have improved our full sales sequentially and kept a stable market share in volumes over the quarter. The non-food sales faced an unfavorable comparable basis, but posted plus 1.1% growth when restated for the end of the [indiscernible] team last year. Financial Services are also showing some signs of recovery with a plus 4% increase in credit production. Finally, the conversion of SuperCor stores is now complete and the stores are ramping up per plan. Moving on to Latin America on Slide 9. Carrefour posted solid growth in Q1 2025 with like-for-like sales up 12.2%, confirming the region's role as a growth engine for the group. Total reported sales reached EUR 5.7 billion, impacted by adverse ForEx effects of minus 15% from both Brazil and Argentina. In Brazil, sales rose plus 5.4% like-for-like, driven by a sound improvement in customer satisfaction, as I will develop in a minute. In Argentina, Carrefour delivered a plus 51.5% like-for-like growth, further consolidating its market leadership. This performance was supported by continued gains in market share and a significant increase in NPS, all within the context of easing inflation and progressive stabilization in volumes. These results reflect the strength of Carrefour multi-format value-driven model in LatAm, its leadership in discount and wholesale formats and the ongoing success of digital and financial services. Let's pose on Brazil on Slide 10. Atacadao is delivering another strong quarter at plus 6.9% like-for-like, growing above the market and maintaining its leadership, thanks to its price positioning and successful strategic initiatives, including service corners now present in 170 stores. Converted ex-Grupo BIG stores delivered a strong plus 15% like-for-like growth in Q1 on top of high comps with 21% like-for-like in Q1 '24. Carrefour Retail continued to perform well, notably in B2B. Sales in the segment increased by 2.6% like-for-like over the quarter, penalized by some price investments. In the meantime, Sam's Club top line growth was penalized by the cannibalization of recent openings and an indirect ForEx effect. As a matter of fact, Sam's Club sales close to 25% of imported food products whose prices came up as the Brazilian real came down, which penalized sales. Finally, e-commerce GMV maintained its dynamic growth at plus 29%. Financial Services also showed solid momentum with credit portfolio up 16%. Let's wrap up on Slide 11. As you have understood, we are satisfied with the development of the first quarter of the year, which is in line with our Q4 '24 and our expectations for 2025. We take comfort that our strategy of price investment is well engaged and is bearing fruit. We continue to support it with the EUR 1.2 billion cost saving plan that is well underway. Finally, current macroeconomic environment is consistent with the analysis shared in February. Additionally, we believe food retail should be less impacted by international trade tensions than other industries. On that note of confidence, we reiterate our ambition for 2025 of slight growth in EBITDA, recurring operating income and net free cash flow. That said, I thank you for your attention. Sebastien and I are now happy to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of William Woods from Bernstein.
William Woods: I've got 2. The first one, obviously, anything that you'd like to update or any comments on the strategic review and anything that you're doing there would be helpful. And then the second one, on the price investments that you're doing in France, are you able to give any more information around the competitive environment in France, if you're seeing any change in your price index versus peers? And I suppose any particular areas where you're investing in price specifically?
Matthieu Malige: Thank you very much, William. So first question on the strategic review. So we are making good progress on that strategic review. At this stage, there is no other initiative implemented beyond the Brazilian operation to buy back the minorities and the additional CapEx plan for France. And there's no other new initiatives that we can comment on. Just so you understand, we will not comment on any potential action in order to -- not to compromise it, if any. We'll update the market once decisions are made and actions are well advanced. So nothing more to share beyond these 2 first decisions that we already shared in February on that strategic review, but it's progressing well. On your second question relating to price investment in France. So first quarters with the negotiations happening at the end of February is always hard to read. And we know that we have some increase -- strong increase in some commodities, cocoa, coffee and strong decrease in other categories of product. But as I commented in my introduction, we've been quite active in reinforcing our competitiveness. Le Club in January is a strong investment in terms of giving out more value to customers. As I said, we now have best prices on organic, but probably more importantly, on fruits and vegetables, and we know how important they are to create frequency and drive price image in the mind of our customers. And then we have implemented again our waves of price decrease. That's a methodology that worked well last year, where we select a number of high rotation products, and we decreased them by a significant percentage in average 10%. So many movements, many dynamics. Our feeling overall is that the market has been normally competitive in Q1. There has been no price from many of our competitors. And so with the price investments that we made, we think that our level of competitiveness is reinforced versus where it was at the end of 2024.
Operator: Your next question comes from the line of Rob Joyce from BNP Paribas.
Robert Joyce: I've got 3, if you don't mind. I'll just go through them one by one. It's probably easier. So first one, just to confirm the -- on Cora & Match, the OpEx of EUR 100 million in 2025. Is that -- should we expect that in the recurring EBIT line?
Matthieu Malige: Rob. Yes, so we've updated you, you're right on that Page 6 of the presentation. So we were initially expecting OpEx of EUR 150 million, which we are confirming today. We initially -- meaning in July '24, so that about half of that would be spent in '24 and half of that will be spent in '25. I think I commented that in February, but only EUR 50 million have been incurred in 2024. And so we have an additional EUR 100 million to come in 2025. Majority of that, as I said in my intro, will be in H1. It's hard to be very precise at this stage on what will impact the recurring operating income and what will be recorded as nonrecurrent expenses. So hard to answer precisely on that part. But clearly, the majority of this EUR 100 million envelope should be incurred in H1.
Robert Joyce: Okay. And the EUR 50 million, how much of that was split recurring, nonrecurring, roughly?
Matthieu Malige: I think I would say roughly half because we notably announced a social plan on the head office of Cora. And so there were some nonrecurring expenses attached to this announcement.
Robert Joyce: Okay. And then second one, just in terms of -- you said Q1 is very much going in line with your plans in France. How do you anticipate things evolving in your plans across the rest of the year in the French market?
Matthieu Malige: Yes, yes. So as far as the market is concerned, so we've had -- I talked about a muted market in my introduction. We've seen very sluggish volumes around stable volumes. So there's no real picking up in the volume trend. And inflation is around 0. So the market is roughly stable over Q1. So always hard to predict what's going to happen, but we think inflation should remain around 0, maybe 0 plus when we hear about the outcome of the annual negotiations with the suppliers. And then when we look at the confidence levels in all the surveys, it's still quite weak. And so we think that as far as volumes are concerned, the market should remain relatively flat for the rest of the year. So we're not betting on any significant support from the market there. Now as far as -- and so all this is very consistent with what we shared in February. I know some of you thought that we had a cautious outlook, but it is proving to be consistent with what we said in February. So as far as Carrefour is concerned now in this market, we have clearly improving month after month and quarter after quarter price image, NPS and we see that the trend on market share is also improving month after month following the investments in competitiveness and the high quality of execution in the stores that notably the price investments that were made over the course of 2024 and which continued in the first quarter and which are going to continue for the rest of the year. So we see this trend as quite -- so improving and quite structurally improving. So we feel relatively confident on Carrefour's performance in a sluggish market.
Robert Joyce: Okay. And then that sort of helps -- well, maybe you can help me then on the last one, which I'm still trying to square is, I guess, market flat, value share flat ex Core & Match, but like-for-like down sort of 1.7%. And then if we add calendar, we're closer to minus 4%. I'm trying to square how that's flat share in a flat market.
Matthieu Malige: Again, we have significant price investments that negatively impact our like-for-like as you have followed closely. I know we have significantly invested into our pricing over the past 12 months. And so clearly, it penalizes us versus the rest of the market when we look at value and notably like-for-like.
Operator: Your next question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva: And -- so my question is on competition in France. If I think about the environment that you have outlined, so flattish volumes, inflation close to 0, would you expect that your main competitors are going to embark on a new price investment cycle? And really, what I would like to know following on from Rob's question is why are the volume elasticities still not strong enough to push your overall value market share in positive mode given that we are over a year into this process now? And how do you see the competition evolving from here? Do you expect that there will be another price investment wave? That's my first question.
Matthieu Malige: Thank you, Izabel. So we're satisfied with the elasticity on our price investments. I said that already in February. I'm happy to confirm. You've seen the market share in volume terms, which has been improving very regularly with a very steady pace over the past few months and quarters, which is a sign that elasticity is at work. And so 20 bps of gain is positive. It's still 0 in value given all the price investments that we have incurred, but we see that the volume market share is heading in the right direction. With I said on William's question that we had a normally competitive market in Q1. There's -- the market is flat. And so it is just normally competitive. We are able to invest and improve our price positioning versus the market, thanks to what we think is above market in terms of cost savings dynamic, which gives us more resources to invest into our competitiveness. But -- so we think if the market remains flat as we anticipate, we think it's going to be a normally competitive market for the year.
Izabel Dobreva: And my second question is on Brazil. If I go back to your CMD in 2022, you had outlined plans regarding a real estate spin-off. And as I understand it, but please correct me if I'm wrong, as I understand it, these assets are now ring-fenced and in position. So my question is, why has a minority investor not been found? And what is your timeline regarding completing the spin-off for the Brazilian real estate?
Matthieu Malige: Yes. So we're very active, as you all know, on monitoring the value that we can create with our real estate assets and making sure that when we have an opportunity to crystallize value, we do so. It's been the case last year as we had a very interesting opportunity to sell a portfolio of stores. So I think we had a EUR 100 million to EUR 150 million sale and leaseback divestment. On cap rates, I think we mentioned that of 8%, which was very good given where the interest rates are in Brazil above 14%. So that's probably a little lower in terms of magnitude than what had been anticipated in 2022. There has been one small but probably important factor that you have in mind, which is the increase in interest rates, which -- so we've adapted. Interest rates have increased. We have a long-term approach. And so we've been less aggressive than we thought given where interest rates are.
Izabel Dobreva: That's clear. And then my last question is a technical question on the cash flow. Last year in '24, the tax charge was almost twice the P&L charge and the restructuring items were close to [ EUR 550 million ]. Could you give us guidance on the cash impact from restructuring and tax rate for '25, please?
Matthieu Malige: So really talking out loud here from what we said in February. So clearly, we said that as far as restructurings cash out were concerned, we had incurred less restructuring. We had launched less restructuring plans in 2024 versus what had been launched in 2023. And so the cash out in '24 was quite high. And I said that it was reasonable to expect that the cash out from restructurings be lower in '25 versus where it was in 2024. And this is very consistent with the restructuring nonrecurring expenses that were booked in the 2024 P&L. Then on the taxes, so as you know, there is an increase in the tax rate in France. And so that will impact us this year. So I think it's fair to assume that the cash out from corporate tax in France should be higher this year than it was last year.
Izabel Dobreva: I'm sorry, last year, it was [ EUR 700 million ]. Are you saying you will be higher than [ EUR 700 million ]?
Matthieu Malige: No, I'm just talking France here. Let me take that offline with Sebastien, Izabel. Let us look back if you have a precise questions, let us look back at the number and have a precise -- I don't want to be confusing here.
Operator: Your next question comes from the line of Monique Pollard from Citi.
Monique Pollard: I have 2, if I can. The first one was just on non-food sales in France. They were down 6.2% in the quarter. I just don't know if that has to do with the lower Descrozaille I'm probably pronouncing that wrong, or if there are other factors impacting that quite material decline in the non-food sales. And so as we lap that sort of Descrozaille, if that's going to now start to improve as we get into the second quarter? And the second question I had was on the promotions, the rebate on the organic produce. So near the end of last year, I think about the third quarter, you started saying in the fourth quarter, you were seeing growth back in organic produce in France. Is that sort of the demand that you were already seeing in the product what led you to focus the rebates on those products? Or is there some other reason why the rebates have been focused on organic produce?
Matthieu Malige: Yes. So when -- so on your first question on non-food sales, maybe let me maybe precise that hygiene products is food. Obviously, we don't eat them, but it's food. And so the non-food performance that you see negative like-for-like is not related in any way with the Descrozaille law, which constraints the promotions. The non-food sales decline has to do with the pressure on purchasing power at households following the wave of hyperinflation. And obviously, it is more discretionary spending than food. And so when you look at all the market data on non-food products, notably the Banque de France data, you see that most non-food categories are negative mid- to high, if not double-digit negative. And so we follow the trend of the market. Then organic products. So yes, we -- the trend that you described with a rebound of organic product confirmed in Q1. This is interesting. We have a double-digit growth in our specialized network, so SoBio and Bio c' Bon in France, and we have a mid-single-digit growth in organic products in the Carrefour stores. The reason why we have included the organic products in the loyalty scheme. So they were already partly there in the previous mechanics. And then we have a number of commitments to develop organic products. They are part of our CSR objectives as part of our strategic plan. As you've seen, we've not reduced in any way our emission on CSR objectives. And so by putting organic products as part of the program is a contribution to our Act for Food and the way to develop these categories and reach our objective.
Operator: Your next question comes from the line of Francois Digard from Kepler Cheuvreux.
François Digard: The first will be on your new loyalty card in France. Could you share with us some KPIs on the kind of dynamic of fresh and organic sales versus last year? You started with organic, but maybe you could share some data on the fruits and vegetables. And I have difficulties to understand the difference between Pass and Club. Maybe if you could share some light on that. Then a question on non-food. Could you remind us the share of non-food sales in France, hyper, super, I guess, [ approximately ] nearly nothing. And lastly, have you witnessed any sequential improvement during the quarter? I understand not, but I'm a bit surprised because apparently, the volumes in the market was better in March despite the later Easter this year. So have you seen anything in March on the start of April?
Matthieu Malige: Thank you, Francois. So on fruits and vegetables and in fact, fresh products in general, it's a dynamic category at Carrefour for there's clearly been an acceleration after the relaunch of Act for Food, which was probably in September or October last year. So it's dynamic. So we have a higher growth in fresh than in FMCG, which we think is good. It's the right strategy because it contributes to frequency, to loyalty. And so that's the right strategy. So that was also part of the rationale of having fruits and vegetables in the new loyalty scheme. So the Club is -- then you asked between the difference between Pass and Club. So Club is the loyalty program. Obviously, within this loyalty program, we have a number of members who have the Pass card, which is a payment card, which allows the Pass cardholders to access notably consumer financing solutions that we provide at Carrefour Bank. So the Club is the big basket, and there is a smaller basket of customers inside the program who have the credit card. So they are very good, loyal, high-frequency customers, these Pass cardholders. And so they have a number of additional benefits. On the non-food, you asked about the share -- no big changes there. Non-food is roughly 15% of sales in France. Obviously, it's more 20% in hypers with big discrepancies among the hypermarket portfolio depending on the size of the store. And in the super, it's more 5%. So that's what we see. So in average, 15%. It's a little below at group level worldwide, probably 13%, but that's the range. Then any sequential improvement in Q1 -- not really. I looked at the same data as you, but I recall everyone to be cautious on the restatements, the calendar effect, the way it's calculated in the various surveys. So it's moved from March to April, this Easter commercial campaign. And so I take the March number with caution. I don't think there's any trend, as I said. So let's see at the end of April for us and at the end of Q2 for you when we have in both years, Easter behind us.
Operator: Thank you. There are currently no further questions. I will hand the call for closing remarks.
Matthieu Malige: Okay. Well, many thanks to all of you for your time and attention. So the team is available for any follow-up you may have. And on my side, I look forward to reconnecting with you on the release of our half year results, which will be on July 24.